Jose Manuel Entrecanales: Good morning, everyone. Welcome to the 2021 Results Presentation for Acciona. I am Jose Manuel Entrecanales, Chairman and CEO. And on my left, I have Pepa Chapa, Investor Relations. On my right, I have Jose Angel Tejero, Chief Financial and Sustainability Officer. And in the room to give you a better understanding of some of our businesses, I have Andres Pan de Soraluce, who is the Head of our Property business, Real Estate; Carlos Sotelo behind him, who is the Head of our Mobility business; Luis Castilla, here on my left, who is the Head of our Infrastructure business; Quique Perez-Pla, Head of Bestinver; and Juan Muro-Lara, who you all know is Corporate Development – the Chief Corporate Development and Strategy Officer. So with that, I will start my presentation and after that – after the presentations of my colleagues, we will go into a Q&A that will be dealt by with written questions that we will be answering – badly answering through the screens. Thank you very much. Okay. [Foreign Language] First of all, I am aware that the timing of this presentation may be somewhat at odds with the bleak developments in Eastern Europe, which are obviously everyone is concerned right now. My condolences to the people of Ukraine, particularly to our partners and employees with whom we talk on a daily basis, unfortunately, are all well. Let us hope for the best. Today, for the first time, I am presenting Acciona’s results without a detailed focus on our renewable energy project, with the renewable energy industry, and I’m going to devote most of my attention to the other businesses. We focused on Acciona Energia yesterday at Acciona Energia’s results presentations as an independent company naturally. Now, we have set Acciona Energia firmly on its path as a successful listed pure-play renewable energy company. I want to take then the opportunity to put into perspective where we come from, what has shaped Acciona over the past 25 years and the long-term mission as a contributor to some of the key transformative changes that our world requires? Some 20 years ago, we began developing what has undoubtedly been Acciona’s most successful business project, Acciona Energia. It’s IPO, I believe, marks the beginning of a new era for Acciona as it will reinforce our capacity to continue developing our long-term strategy. At approximately the same time, we enter a new chapter of our century-old infrastructure business as we explicitly shifted all our focus on sustainability. The energy project was then a mere component within our global strategy. And despite the enormous changes the world has experienced in that period, many of our strategy-inspiring predictions have fortunately or unfortunately proven right. Back then, we were already talking about climate change and the need to reduce emissions. We warned about the growing need for fresh water. And against a generally negative investor sentiment, we persevered in pursuing our skills and global footprint in the infrastructure and the real estate sectors for the crucial role they play in the development of society as a whole. But we are far from solving these colossal challenges. If anything, the needs have become more urgent. In 25 years, a miniscule period in history, emissions have grown by about 50%. Water availability per capita has declined about 31% and the need for resilient, mitigating and adaptating infrastructure has grown exponentially. It is frustrating that so little progress has been made. But at the same time, from the perspective of the transformation that’s required, our business model has never been more relevant, more contemporary and more in demand. For the past 20 or 25 years, we have played a key role in the transformation of the energy industry, pioneering almost every innovation in renewables, whether energy storage, PPAs, hybridization, blockchain applications, floating solar or green hydrogen or an infrastructure where we have a long list of patents, proprietary pioneering construction techniques and some of the most iconic infra progress in the world or in the water sector, where we invested – heavily invested in reverse osmosis desalination 20 years ago, when the need for a less energy-intensive technology to address water scarcity was not at all obvious – as obvious as it is today. Despite these accomplishments, we are as active and eager to improve as ever because what we achieved is grossly insufficient. Particularly in relation to climate change, we have barely another 25 years to reverse the trend of ever higher emissions. We need to redouble our efforts. The next generations will live with the consequences of the decisions we take as a society today. This includes decisions about the way we produce and consume energy, how we plan urban infrastructure, and transport how we can serve and treat water or how we reuse or dispose our waste. Transformation is a must and we will continue to play a leading role in making that happen. A huge global effort is required. To give you a quantitative idea of the challenge, only in the carbonizing the energy sector, global CapEx has to grow from about $6 trillion current annual investment to over $9 trillion. That’s about a 50% increase in annual global investment. We will also continue to take part in the transformation of urban spaces and mobility already underway. We expect this sector to attract about $38 trillion in global investment only this decade. This is dollars, I’m talking. We see urban spaces shifting from being car-centric to becoming healthier and more inclusive human environments. We will see fast changes in mobility with new means of transport and new business models, some of which Acciona is already involved with. Living and working environments will tend to blend in with their surroundings with more natural light, cleaner air, flexible space and materials designed from and for circularity. But at this point of environmental damage and CO2 concentration, it is essential that we go beyond a do not harm approach onto regeneration strategy. Unfortunately, carbon storage is not yet a viable – sufficiently viable scale. So Acciona’s regenerative efforts will mainly be focused on water. We will be at the forefront of providing new clean water and sanitation infrastructure. In the coming years, this is expected to attract 3x the current level of investment. And in large parts of the world, the availability of water is set to become the essential limiting factor in human development or the main competitive advantage. We will work to give finance a prominent role in this transformation with a new approach to value-investing that goes beyond the current ESG ratings. It is not only a question of prioritizing one sector over another, but more about developing or helping develop business projects that enable promising positive impacts. At Acciona, we like to say maybe somewhat pretentious, but we like to say that we are giving rise to a new sector in the economy, sustainability. We believe Bestinver has a role to play in these objectives, both by enhancing investor awareness and both a challenge and a promising opportunity while offering them socially and environmentally viable investment alternatives. In these yearly results, I am pleased to report figures that, not only reflect our successful strategy and the solid execution, but also 25 years of working towards what we are today, a global benchmark in sustainable solutions. Few companies in the world are better prepared for the sustainable transformation ahead of us. We are proud to attract the best talent, and 93% of our CapEx is aligned with the European taxonomy of sustainable activities. Acciona is a unique business based on a transformative purpose with a proven capacity to make it possible. Thank you very much.
Pepa Chapa: Thank you very much, Jose Manuel. Now, Jose Angel Tejero, Chief Financial and Sustainability Officer, will review our financial numbers of 2021. Thank you.
Jose Angel Tejero: Thank you, Pepa. I would like to start with the key highlights of the group for 2021. Acciona EBITDA grew by 31%, with good operating performance across all businesses. Acciona Energia’s EBITDA increased by 25%, while the EBITDA contribution from the rest of Acciona Group grew by 50% relative to the previous year. This performance is particularly satisfactory considering that the COVID-19 pandemic was unfortunately not completely out of the picture. We have had a very good year in terms of cash flow generation, with our financial debt decreasing by €389 million. Debt at year-end stood at €4.3 billion, and this was after investing more than €1.5 billion and having paid €200 million of – more than €200 million in dividends. The IPO of Acciona Energia generated gross proceeds for Acciona of €1.5 billion. In 2021, we reduced our financial expenses by 18%, thanks to the lower cost of debt and improved credit profile of the Group resulting from Acciona Energia IPO transaction. We also improved our shareholders’ remuneration, having increased the dividend payment to €4.1 per share, 5% higher than the previous financial year. The IPO of Acciona Energia generated a capital gain of €613 million at Acciona. This capital gain did not go through the P&L as we sold a minority stake, but has increased our equity base at almost 30% to €4.3 billion, which give us a higher capacity to support further growth in all businesses within the Group. Going to Slide 7, you can see the key metrics for our 2021 results. I would like to highlight the significant growth in EBITDA that reached €1,483 million and a strong reduction of our financial leverage with a net debt-to-EBITDA ratio as of December 2021 at 2.93x, well below the 4.18x ratio at the end of 2020. In Slide 8, you can find our ESG highlights with the key environmental and social performance metrics. Talking about people, we are proud to say that in a very challenging year, we increased our workforce by 8.6% to 41,640 employees. We have also improved in terms of gender equality, having increased the number of women in executive and manager positions, as well as increasing the number of projects with social impact by 64.5%. We continue to maintain a high percentage of our CapEx aligned with the EU low-carbon taxonomy, which means that we will continue increasing the avoided emission in the coming years. On Slide 9, we provide details about the investment carried out during the year. As you can see, the energy represented the lion’s share of our investment with €819 million, as was explained yesterday in detail by the Acciona Energia team. In addition, there is also a significant increase in the amount invested in the rest of the businesses compared to the previous year, underpinning its future growth. Looking on Slide 10, looking at the evolution of the net debt, as you can see, we have reduced by €383 million this year, having finished 2021 with a net debt figure of €4,344 million. Aside from the good operating performance of the businesses and the cash proceeds from the Acciona Energia IPO, I would like to highlight the good management of working capital during the year, as well as the reduction that we have achieved in the Group’s financial expenses. In the next slide, you can see that we have reduced the cost of our corporate debt, which represents the bulk of our debt from 1.97% in 2020 to 1.66% in 2021, mainly as a result of the independent access of Acciona Energia to the financing markets in conjunction with its investment-grade profile resulting from the recapitalization of the company that we carried out before – just before the IPO. Looking to 2022, we want to give you some color on our current expectations, all of this, with all the caveats, considering the growing geopolitical tensions, obviously. We expect another year of solid double-digit growth in EBITDA, mostly driven by the energy business, and we expect to invest between €1.7 billion to €1.9 billion, €1 billion to €1.2 billion in energy and around €0.7 billion in the rest of our activities. With regard to the dividend, the Board of Directors has proposed a dividend of €4.1 per share, implying a 5% increase with the – versus the previous year, and we expect a prudent and sustainable growth going forward. In terms of leverage, we expect to continue improving our investment-grade profile. Moving into the operating performance of our energy business, in the next slide, we present the main operating and financial metrics of Acciona Energia. I will not elaborate much of Acciona Energia numbers given that their management team presented yesterday the results in full detail. I would like to highlight, nevertheless, the strong performance of the company at EBITDA level we reached €1,086 million, up 25% year-on-year. Also, in terms of consolidated capacity, it increased by 538 megawatts to 9,169 megawatts. Lastly, consolidated production increased by 3.3% versus 2020. Total installed capacity reached 11.2 gigawatts. Last, we want to show you a map on Slide 15 that shows the geographical footprint of Acciona Energia fleet and operations. You can see that the company has a global presence in 17 countries, 5 continents, with as I said 11.2 gigawatts of total installed capacity in 2021. And thank you. Thank you very much.
Pepa Chapa: Thank you, Jose Angel. Now, let me give the floor to Luis Castilla, CEO of our Infrastructure business, who’ is going to present on Water, Concessions, Construction. Luis, please? Thank you.
Luis Castilla: Sorry, sorry. After the 2020 COVID crisis, we can say that the different business of our division have been recovering to a high level of normality during the year. Supported by the strong healthy backlog that will be analyzed later today, we have been able to recover our growth path in terms of revenue, reaching a historical number of €4.87 billion. This figure represents a 24% over 2021 and mainly comes from the 30.6% recovery of our construction business and a 7.8% of our water business. As per EBITDA, we are already on track with a whole figure in the division of more than 6.6%. This is thanks to a good EBITDA of the water business with 9.5%, our solid concession EBITDA and the good capacity of response and performance in our construction activities with 6% of EBITDA. The 4.5% EBITDA that appears on the presentation is due to the negative impact that the industrial EPC caused on the conventional civil construction activities in 2021. 2021 has been, again, like in 2020, a record year in terms of new awards won. We have achieved a new record of more than €8.5 billion in new contracts won, implying that our backlog at the end of 2021 is about €18 billion. This figure includes €13.7 billion in execution and construction activities. If we take into account the backlog associated to our activities that are consolidated by the equity method. For example, most of our concessions and some of our water, O&M activities our total backlog number at the end of 2021 is close to €26 billion. Here, you have a map showing our international footprint, with some of the major projects in the different regions. It is worth to mention that 80% of our portfolio is allocated in OECD countries, who is Australia and Spain as our two first countries with 19 and 18 of backlog. The rest of our projects are distributed among the rest of Europe, Poland and Norway mainly, Latin America, Middle East and North America and our remaining 5% in one of our growing markets in Southeast Asia. As you can see, 2021 has been a year of very good performance in terms of new awards. I would like to underline our capacity to originate, develop and win a well geographically diversified and healthy portfolio of very iconic contracts. We believe that the infrastructure industry will significantly rebound after the COVID pandemic decline, supported by ongoing infrastructure plans by national recovery programs across the footprint. Our sector has been recognized as an economic catalyst and a recovery engine and is the lead actor in the public investment plans all over the world. In Europe, the next generation funds will have an extraordinary effect in countries such Spain with more than €20 billion investment in infrastructure. While other countries are already implementing their own national plans like Norway with €118 billion budget. We have just entered into the U.S. market with our first big concession, the Fargo diversion river, and we are confident to keep on growing following the $1 trillion Biden plan. Similar efforts have been conducted in our market by revenue, Australia and other countries of a strong presence of interest for Acciona such as Saudi Arabia or Philippines. I would like to stress the adaptation and resilience capacity of our construction business, able to reach the revenue back to pre-COVID levels with healthy margins and a high and safe backlog for the coming years. The most important achievement of 2021 in our construction business has been the completion of the integration of Lend Lease Engineering. With Lend Lease Engineering activities integrated, we have tripled our business size in Australia. We are today very clearly a Tier 1 player in this market and we are perfectly positioned to participate on the big infrastructure plans that I have mentioned before, with more than AUD170 billion in the coming 4, 5 years. It has been good to see that we have been able to maintain a consistent and healthy growth in our local markets, Spain, Australia and Poland. At the same time, we have maintained a sustained presence throughout big complex and iconic contracts in Latin America, North America and the rest of Europe. In terms of EBITDA, and as mentioned before, we have achieved a good recovery from the COVID slowdown, mainly working focus on profit, efficiency and risk control throughout the whole life of our projects from origination to final delivery. Our capacity to offer innovative solutions, our capacity to self-perform, to work in collaborative frameworks with our clients, our improved cost and risk control procedures are key pillars to guarantee consistent revenues and solid results. I want to mention also that we are working to increase our participation on the most balanced contract framework, an increasing part of our contracts in some of our more developed markets are under alliance terms, incorporating balanced formulas that allow us to successfully manage the risk and better control the current environment of increased cost and restrictions for construction materials and logistics. I want to finish the construction part saying that we are one of the few global players with skills and size to address and select the future large and complex projects that we will see. In 2021, our concession business has progressed in its strategy of global sustainable greenfield developer with a clear focus on deploying capital in new greenfield profitable projects that can provide long-term steady cash flows and creating value through the recycling of the equity of already de-risked operating assets. Concessions closed the sale of a portfolio of some of its Spanish operating assets in December of 2020 and throughout 2021. This has had an impact on both the revenues and EBITDA of 2021, but it also has been an example of a successful rotation strategy with double-digit equity returns on more than 2x of return on our investor capital. In terms of new developments in the last 15 months, concessions has been able to secure the award of a few new projects for a total investment amount over €4 billion in U.S., Brazil and Chile. Concessions started the execution of the Line 6 of the Sao Paulo Metro currently the largest PPP under development in Latin America. Later in June Acciona 1, its first concession in the U.S., the Fargo-Moorhead diversion canal in North Dakota. This is the first sustainable infrastructure project launched in the U.S. under a PPP and the first green finance initiative in the U.S., specifically designed for climate change adaptation. Finally, in November, Acciona returned to the Chilean concessional market as it was nominated preferred bidder in the concession of La Serena Hospital. The existing portfolio will require €320 million equity investment and is expected to generate €1 billion in dividends over the life of the contract. The outlook of the concessions business seems very promising. The team is currently working on the origination of new opportunities, and it is currently working geographically and sector-diversified pipeline of more than 70 projects worth over €75 billion. This pipeline should result in the tender of more than 50 concession projects in the next 2 years. Our concession business is currently working on the development of new sustainable activities such as transmission lines, district heating and cooling, data centers or anaerobic digestion projects that will provide for added diversification to our portfolio and are complementary to our management and operational capabilities. These activities should start contributing additional stable cash flows to the concessions business in the coming years. Regarding our water business, 2021 has been extremely positive in both sales, where we have achieved the milestone of surpassing €1 billion and awards, in which we reached more than €3 billion contracted over the period. Both revenues and EBITDA increased from 2020 numbers, as you can see on the slide. We also increased by almost 50% of our backlog to €5.5 billion, mainly through long-term operations, which will provide our base load and stability. Acciona has maintained its leadership on the large-scale desalination mega projects, being recently nominated by a prestigious specialized international water magazine as the number one company in the sector for the last 10 years. This has been confirmed by the latest awards in the Middle East, Acciona is nowadays, the company which is undertaking the largest execution volume of desalination worldwide. Outside of the Middle East, we are executing on the Hong Kong desalination project, a world-class plant that will secure first water supply to the most relevant city of Southeast Asia. We believe the pipeline of large-scale desalination will keep its pace through the upcoming years, and we are perfectly positioned to keep our leadership in this technological sector. Acciona successfully finalized our relevant water treatment contract in Egypt, providing more than 5 million cubic meters per day for irrigation, which will help to develop an important plot of agricultural land in the Nile River Delta. We also secured a large wastewater contract in Ecuador and these two contracts will help us diversify our portfolio of references with world-class projects in the conventional water treatment sector. Additionally, we have significantly implemented our portfolio of long-term operations, specifically with the acquisition of the Veracruz Water Utility business, which, in addition to the adjacent city of Boca del Rio will allow us to perform the water and wastewater management of almost 1 million people in the metropolitan area of Veracruz for the next 25 years. The existing portfolio of concessions and utilities is expected to generate close to €1 billion in cash distributions for Acciona over the life of the contracts. We confirm our strategy to increase our investment in water utility assets. We are actively looking for new opportunities in the field. And now, I would like to hand over to Andres Pan de Soraluce, the Real Estate CEO. Thank you very much.
Pepa Chapa: Thank you, Luis. Andres will review our real estate sector. Thank you. Real Estate business, not sector. Thank you.
Andres Pan de Soraluce: Thank you, Luis. Thank you, Pepa. First of all, I would like to thank you for the opportunity to share with you our activity in Real Estate. Starting with our key figures, we have achieved a total revenue of €190 million, which is 5% less than last year and an EBITDA of €27 million, which is 45% better than the previous year. In terms of gross asset value, we have a total of €1,361 million, 56% in residential developments in Spain, 17% in our international business and 27% in our iconic rental properties. As key highlights of fiscal year 2021, 450 dwellings were delivered during the year at an average selling price of €200,000. A very relevant transaction was the sale of a landmark logistic development in the city of Barcelona, led on a long-term contract by one of the leaders in the e-commerce activity. During last year, we have acquired land for €150 million in aggregate, which give us the potential to develop around 1,700 new units, consistent with the brand and product strategy. Our investments will represent 30% of our sales value, moving towards the €300,000 price point in average. Last year, we also had a very strong commercial activity, having sold almost 1,100 units versus 331 units in the previous year. At the end of 2021, we had a total of 18 housing developments under construction, that represents 1,400 units. Our current land bank allows the delivery of more than 6,500 units until 2026, including some very iconic projects like [indiscernible], which reclaims stretched land from the river with a prospective of 350 residential units in the greatest potential area in Bilbao. Moreover, we keep identifying very good opportunities, absolutely in line with our strategy. To have a better vision of our residential land bank, let’s have a quick review in this graphic. We have 1,472 units as total sales backlog, which represents 70% of our total product in the market, which, as you can see, are 2,158 units. At the beginning of this year, our presales cover 82% of our total delivery target for 2022. Around 60% of our sales backlog are related to build-to-rent projects. And in the near-term, we can add another 1,600 units from our current land bank for new BTR projects, some of which will be mentioned later on. If we compare these figures to our land bank foreseen to be delivered in the next 5 years, 60% is currently under development and our current commercialization level provide us with a very high degree of certainty. In terms of geographical footprint, Europe represents 90% of our GAV, Spain, 83%, where Madrid and Catalonia, represent 70%. As the Iberian Peninsula concentrates the vast majority of our business, let me highlight some relevant projects recently developed or currently under development. In Madrid, we have and we are developing the three most important build-to-rent projects, one in Valdebebas and two in Mendez-Alvaro area with more than 1,000 units and without any doubt, the two most exciting office projects in Madrid, Campus Mesena and Ombu. In Barcelona, the landmark urban last mile logistics previously mentioned. And the very relevant build-to-rent projects, one in Terrassa, creating a new destination and in La Marina in Barcelona for a total of around 850 housing units or the iconic development of flexible offices in the [indiscernible] sector. And finally, in Lisbon, we are developing a new mixed-use destination in the high-potential Bensaude area with 500 housing units for build to sell and rent and 27,500 square meters for offices, creating again, a destination in a new destination in a destination. I would like to highlight that all our offices are LEED and well Platinum certified and all our residential projects are BREEAM Very Good certified. As a summary, I would like to emphasize how in an industry in deep transformation, Acciona is prepared and focused on anticipating and answering new consumer needs, probably better than anyone else. We have become the leader and the reference in our industry’s crucial factors, sustainability and energy efficiency, coupled with the latest technology. I would like to remark that the Real Estate division of Acciona is recognized in the market, a sector leader in terms of technical capabilities and expertise, positioning us as the benchmark for successful iconic projects. We are a reliable and strongly capitalized partner for creating and executing sophisticated end-to-end structuring solutions for our institutional partners. In an increasingly segmented market, which requires a higher degree of specialization Acciona is a pioneer in innovative products, successfully anticipating emerging trends in how we live, work or shop. In housing, we are a key player in the segment with a higher growth potential build-to-rent. The new model of offices will require flexible campuses where employees and now the employers and now the clients. We will develop offices this design to retain and attract talent at the state-of-the-art of sustainability. In our new approach of logistics, we develop facilities for the first time incorporating the highest sustainability standards in the market, working hand-in-hand with e-commerce leaders. And we are constantly analyzing the latest trends in mixed-use destinations in line with our strategy to incorporate value-added services, which is key, again, to respond to new consumers’ expectations. Thank you very much.
Pepa Chapa: Thank you, Andres. Next, Enrique Perez-Pla, will give you an overview of Bestinver results in 2021. Quique, please?
Quique Perez-Pla: Thank you, Pepa. Good morning, everyone. We are going to talk now about Bestinver figures for last year. As you can see, our revenue were €128 million with an increase of 12% and with EBITDA raising 7% to €67 million, achieving our budget for the year. Our EBITDA margin fell slightly to 52.4%, but this was due to three main factors: investment in new people in order to grow the business going forward; within our asset management activity, lower success fees in 2021 versus the previous year; and third, a greater contribution to revenues from Bestinver Securities, where EBITDA margins are lower than in the Asset Management business. If we move to the main achievements of last year, I would highlight the following: first, AUMs grew 11%, mostly driven by performance; second, we successfully launched Bestinver Infra Fund, our first step in private markets; third, we fully integrated ESG criteria into our investment processes; fourth, we reorganized our product range in Luxembourg in order to increase access to institutional investors; fifth, we launched our new Private Web and mobile app; and finally, we had a positive contribution from Bestinver Securities, participating in several important capital markets transactions. Looking forward, in Asset Management, our main objectives are to grow in alternative funds in private markets. And within our value investment invest in product range to launch new ESG and thematic products and to expand our institutional customer base. For Bestinver Securities, we aim to continue expanding our corporate finance activities. Thank you very much.
Pepa Chapa: Thank you, Quique. And finally, Carlos Sotelo, CEO of Silence, will present our Urban Electric Mobility business. Carlos, please, the floor is yours.
Carlos Sotelo: Thank you very much, Pepa, and Jose Manuel for show this new division about light electric vehicles and to decarbonize urban centers. Acciona is the leading player in European cities for electric urban mobility. Acciona acquired Silence in 2021, a leading European manufacturer of electric motorcycles with more than 32 units produced from 2017. Silence have 30% market shares in today’s early adopter market. Our portfolio is 100% electric two wheels and now four-wheelers with the same removable battery as a trolley with a patented extraction system fast and easy. We are present across the full mobility value chain with own technology for connected vehicles, innovative battery subscription model with recharging services, and we have a strategy for new applications for the batteries. As for example, charge your battery at home as energy storage. Acciona launched its moto-sharing business in 2018, 12,000 shared Silence electric motorcycles with presence across six cities in Spain and Italy, with more now than 400,000 users registered in our applications. Our activities are manufacturing, Battery as a Service and Mobility as a Service, fully connected with proven technology ready to accelerate growth and mass market penetration. Our key growth levers are battery subscription model and today, distribution network. We are ready to launch battery subscription model in 2022 and enter in competition with petrol scooters in mass market. Battery as a Service allow the users to subscribe to a battery service and pay per use, reducing vehicle acquisition costs by 40%. This is a fully competitive price compared with urban vehicles. Our battery station deployment will start in Tier 1 cities in Spain in 2022. Pilot test just started in Barcelona this January. Our distribution network consists include clients like B2C through dealers, B2B as sharing and delivery companies and OEMs like Volkswagen Group. This strategic partnership help us in growing our quality and volume quicker. Battery as a Service and a strong dealer network to reach mass market today, solving current barriers to EVs adoption, costs and infrastructure availability is just what Acciona is doing. Additional, we expect that 50% of sales will be online by 2025. Let me introduce a new category in four-wheelers for urban use, our electric technology, connected and compact size with removable batteries, four-wheeler, that will start of production in Spain end of this year. This is our new product, the Silence nanocar. I would like to show you. [Video Presentation]
Pepa Chapa: Thank you very much, Carlos. Thank you to everyone. I think that now we are ready to start the Q&A session.
A - Jose Manuel Entrecanales: Okay. Thank you all. Thank you, Pepa, Carlos, Andres, Quique, and Luis and Jose Angel. Okay. So first question is, won’t you go ahead, Pepa, you take care, and I will distribute them.
Pepa Chapa: Okay. Perfect. We have a question from Fernando Garcia from RBC. It’s about asset sales. He says that, given the divestment of our stake in Acciona Energia is in the option in the short-term, if we could consider other asset sales in other businesses. And he specifically mentions, what is our view about our stake in Nordex?
Jose Manuel Entrecanales: Okay. I will take that one. The – there isn’t anything that any corporate stake that we would be in a willing or close to selling at this stage or with the intention to sell. We believe the company is pretty well organized and all sales we want to do at this stage are commercial sales. As for our stake in Nordex, we believe Nordex is a very important part of our energy strategy and our energy growth. As you probably are aware, we have a preferred client status, which is a public contract. Some other clients have it also. But that is a very valuable help for our development strategy. On top of that, we believe Nordex is trading below – far below its potential. And as we say, it’s a strategic piece of our company with enormous potential. I will not go into details about Nordex because it’s a publicly traded company. And therefore, you have the – you have access to their public information, but we are not intending to sell it. It’s not our intention to sell it at this stage.
Pepa Chapa: Thank you. Next question – excuse me.
Jose Manuel Entrecanales: I am sorry. Sorry, Pepa, there was a – I guess, one would should answer about the Acciona Energia non-divestment option. I guess, you take it for granted. I will, however, reinforce and enhance my former comments about – I don’t know if did that – I think I guess I did them yesterday, that we do not intend to sell Acciona Energia at these levels, even – not even close. And now even less, given that our leverage position is somewhat better than expected or very comfortable.
Pepa Chapa: Actually, next question is linked to what you have just mentioned. It’s Fernando Garcia again from RBC, and Fernando Lafuente from Alantra. They both would like to know what is our expectation with regards to our net debt at the end of 2022?
Jose Angel Tejero: Thank you, Pepa. We said in the outlook that we expect to continue improving our investment-grade profile. You know that Acciona Energia is our largest division. It represents the bulk of our consolidated debt, and it published yesterday an outlook that it expects actually to decrease our – the net debt-to-EBITDA ratio. You make the numbers, they are going to invest around €1 billion to €1.2 billion. The rest of the group will invest €0.6 billion, €0.7 billion. So, it’s very easy to do the estimate with the outlook growth in EBITDA that we have provided today, the ratio is not likely to increase, actually, it’s more the opposite.
Pepa Chapa: Thank you, Jose Angle. Next question is about infrastructure. Fernando Garcia again from RBC. Fernando wants to know, given the good relevant – very relevant increase that we have reported in our backlog, what kind of growth do we expect in terms of revenues or the business in the medium to – in the short to medium-term? Luis, I think you can take this one?
Luis Castilla: Yes. Okay. Having in mind the size of our backlog and the market opportunities evolution and our demonstrated capacity to win projects, we expect double-digit revenue growth on the medium-term.
Pepa Chapa: Thank you, Luis. Next question, it’s about property – our property development business. It comes from Oscar Najar from Banco Santander. What are your expectations for 2022 in terms of EBITDA, taking into account the precise backlog of almost 1,500 units that we have? And also he wants to have some indication of the conversion of these units into EBITDA and time line for the almost 4,000 units that we have under development? Andres, please?
Andres Pan de Soraluce: Well, I can’t share some of the figures already advance. And also, I can add that, as I said, 82% of our total delivery budget is covered today with our presales. And we are expecting a total delivery number of around 700 for this year and with very good news because the average price that we are expecting per unit is around €350,000 per unit versus the €200,000 that we had the previous year. I would like also to mention that this year, we need to take into account that we had a very relevant transaction with the logistics development that I mentioned that brought us a high margin.
Pepa Chapa: Thank you, Andres. Next question, I think it’s for Jose Angel, Oscar Najar from Banco Santander, a question about our Line 6 concession in Brazil. He wants to know how the contract works in terms of accounting already EBITDA, if it is cash or it’s just an accounting issue?
Jose Angel Tejero: Okay. Thank you, Pepe. In terms of accounting for Line 6, the Line 6 is accounted as a concession as an equity accounted, because we share the control of the concession vehicle. We get the contributions through EBITDA through – because this is activity that is and all goes to other core activities of the group. In terms of balance sheet, the concession itself is accounted as a financial asset under the IFRIC 12 rules. And this is because the exposure to demand risk is very low. And IFRIC 12, the concession generates income from the day one through the P&L, but the dividend payment comes after the concession start operation, which will be after the 5-year of construction. Of course, from a construction perspective, the project is 100% executed by Acciona Construction. And the revenues are reflected on the construction line. And just for reference, this is a contract that projects around close to €2 billion of revenues over that 5-year period.
Pepa Chapa: Thank you, Jose Angel. Next question from Oscar Najar again from Banco Santander about electric mobility. He has found very interesting in this part of the presentation, and he wants to know if we can provide any mid, long-term guidance on the EBITDA contribution going forward? When should we see something significant in this division? And just for curiosity, he asks where the cars are sold and how much do they cost? In the presentation, we said that they are affordable. He wants to know how much it costs to charge one time, we said at 50 megawatt-hour or something. So, I think…
Jose Manuel Entrecanales: We have a big debate in-house big debate on that. So, let me first answer the first part of the question, and then I will pass on to Carlos. The EBITDA – I mean, this is a start-up. The long-term guidance on EBITDA is a very difficult question. It can be enormous or it can be significant or it can be – or like any start-up, it may not work. But we are pretty certain that it works, at least the car works and the batteries work beautifully. I own one, and they are a fantastic product. So, it could be very significant. I believe, Carlos, we are going to be commercially in the market by – after the summer ‘22? Well, he who will probably say that – who will cover himself and say that it’s going to be December.
Carlos Sotelo: All of you know that we are actually fixing the plan – the factory plan. This seems that the car will be in mass production – start of production early September, October. And this is a new market, for sure. Totally is a new barrier for Silence. We expect that that we win this market, a new market for the city centers where we will – we know that we need light vehicles, electric vehicles with this – with our strategy. We win – we have broken the barrier with the motorcycles. We are actually the leading player in the two-wheelers, and we expect to broken a new barrier with the four-wheelers in the city center.
Jose Manuel Entrecanales: Just let me add there. In terms of pricing in the – and correct me if I am wrong, Carlos. The motorcycle, we are selling at €3,500 the last model that is with Battery as a Service. And with the subsidy – with a $1,000 subsidy. So, that’s the price of the motorcycle. As I say, I own one of these motorcycles, and I find them extraordinary. The car, we will be south and this is where we have the debate. The south of $10,000, that’s there is no debate about that, which is kind of debating the exact price level. But with Battery as a Service and the small subsidy that these cars will receive will be significantly below $10,000. About how much it costs to charge the first time, we believe it would be one – the first charge, which should be enough for about 120 kilometers in normal urban use, that should cost less than €20, anywhere from €17 to €19, €20. And there is two chargers because it has two batteries. And – well, that’s 100-whatever kilometers. And then this is the next charge, you – we would be around €5 per charge. Is that correct, Carlos?
Carlos Sotelo: Yes. The subscription model consists is €15 per month. With this €15, you have for free two chargers and later charge, it cost like the petrol in 100 kilometers around less than €5 per charge. It means any motorbike can make 100 kilometers with €5 per each charge. We need to account that the electric mobility is still not in a mass market because the cost of the vehicles. Actually, the batteries cost is around 40% of the vehicle. It means that when we start with a subscription model, we can really compete with the petrol vehicles.
Jose Manuel Entrecanales: Well, it’s important to point out that the Battery as a Service model will allow you to have your battery and take your battery home and charge it at home or charge it at the office or charge a garage, if you have one or charge it, wherever you want to charge it or, of course, go to a battery station and swap the battery if you don’t have any of those facilities. You can go to the battery station and swap the battery for a new one. All of those options means that at the end of the day, it’s equating the battery to having a tank of fuel. I mean it’s – you don’t buy a car with 5 years of fuel. You buy it without it. So, this is kind of going to the same principle. You buy the car, you don’t buy the battery. Of course, if you want to buy the battery, you can, but it’s possibly a better deal for the customer to have the Battery as a Service as we call it.
Carlos Sotelo: This is a strategy to have a pilot test in Madrid and Barcelona starting from this year with battery stations where the customer can change the battery instead they charge at home or at office, yes.
Jose Manuel Entrecanales: We are opening a shop in Madrid in the next few weeks in the Calle Serrano. So, you are all welcome. We will invite you to the opening.
Carlos Sotelo: We started in Barcelona, as we are from Barcelona, the company is based in Barcelona, but – and we complete Barcelona City. Now we want to complete the capital of Spain, Madrid with our new flagship in Serrano Street.
Jose Manuel Entrecanales: And let me just finish this question point out that the business in itself of the batteries is – has immense opportunity. First of all, it’s a very high – it’s a good return business in itself. The Battery as a Service business on itself with the renting of batteries. But then what is the potential of this business in terms of battery storage and the complementarities with our energy business is kind of a new frontier that we all have – all sorts of – we have all sorts of ideas, but second life of batteries is a huge opportunity, we believe, also. And as for – there was a part of the question asking about how we are going to sell it. We have, what, 500 and something distributors. And – but at the end of the day, this is a market that’s going online, and we expect to sell at least 50% of our vehicles online. Is that right, Carlos?
Carlos Sotelo: Yes. It’s exactly like this.
Jose Manuel Entrecanales: Okay. Well. Thanks very much.
Pepa Chapa: Thank you too for your interest in the topic. Andres, I think that next one is for you. It’s about property development and what are the advantages that we see in the build-to-rent model?
Andres Pan de Soraluce: Well, I have – I see many advantages. First of all, because it’s a segment that, as I said, has the highest potential growth in Spain versus the trend in Europe. And for Acciona particularly because it’s a segment that you need to be very reliable and being strongly capitalized. As I said, we are already a key player in this segment, where we have developed already 1,000 or we are develop or under developing 1,000 units. I would like also to emphasize that we have achieved an average price of 300 – so far, €342,000 per unit or an average price of €5,400 per square meter. So, I think that the prices, the partnership, the position of Acciona and the potential of the market on mix makes this segment a very, very attractive segment.
Pepa Chapa: Thank you, Andres. Next question from Fernando Lafuente from Alantra. It’s about Line 6 in Brazil. He wants to know if we could give him some update on the incident in Line 6? Please, Luis?
Luis Castilla: Okay. The incident occurred 1st of February in Sao Paulo in Almeida, Castelo-Branco, a sewage pipe collapsed, and flooded 700 meters of tunnels, some well points. It was very spectacular at the beginning. Our team on site, our construction team and our health and safety service reaction was absolutely perfect. Fortunately, there were no fatalities and no injuries during the incident. And in the first 24 hours, we managed to fulfill the ground hole that was created in the area of the incident with 3,500 cubic meters of concrete. And in 36 hours, the traffic was recovered and the assets were fully protected. I have to say that this is not – this is only a minor part of the metro construction activities. It’s something around 700 meters of tunnels and wells, but we have another 15 stations under construction that were not affected. It’s also important to mention that the collaboration with Sao Paulo State and the City of Sao Paulo were perfect, and we were absolutely coordinated. The situation today is that, we have encapsulated the incident area. We are removing the water very slowly because we need to maintain the pressures in different technical – and following technical procedures. We hope to finish this – the removal of the water in a couple of weeks, and we don’t expect any effects on the assets, on the concrete. Of course, the TBMs will be affected, but we are already working to substitute the electronic and mechanical parts of the TBMs.
Pepa Chapa: Thank you, Luis, Next question from Fernando Lafuente from Alantra again, about our dividend policy. Considering that the strong operating performance expected will give you some financial room, could the dividend be increased? Jose Manuel, please?
Jose Manuel Entrecanales: Yes. The answer is yes. The dividend will be increased. You are asking also what would be – should be expected as a dividend policy? As a dividend policy, the most important factor is to maintain sustainable growth in our dividend. And there is a limitation that we impose ourselves, which is a minimum of, say, 50% payout would be a very minimum. So healthy growth, minimum 50% payout or north of 50% and that growth mostly taking into account – mostly taking into account recurrent returns – recurrent profit. So, extraordinary profit probably won’t be accounted for as a – in dividend policy, yes.
Pepa Chapa: Thank you. The next question about Construction, Fernando again from Alantra. He says that Construction has shown a strong recovery in the second half of the year with the EBITDA margin going from 3.6% in the first half to 5.2% in the second half standalone. What should be the evolution expected for 2022? Is this sustainable – is sustainable this above 5% EBITDA margin?
Luis Castilla: Yes, the improvement during the second half of the 2021 was because of the improvement of the income activities in several new projects. And we – part of our backlog is smoothly entering into force and it’s due to that. And we consider that for 2022, the future, medium and long-term future is sustainable to be above 5% very clearly.
Pepa Chapa: Thank you, Luis. And finally, the last question, again, about construction and cost inflation. The question is, how is cost inflation and supply disruptions affecting the execution of your backlog? So Luis, please?
Luis Castilla: Yes. Okay. Well, the inflation and the cost increase is a problem that we are facing. Let me tell you that we have been analyzing the impact in our business. We have analyzed more than 130 main construction and water construction projects that represent more than 80% of the current portfolio. And more than 55% of our contracts have a full or limited price or revision clause. So, that’s good news. And we are fully or partially protected with these clauses. Contracts without price review are the most problematic, but there are other strategies to protect this situation. This escalation in many, many countries is due to the COVID. And we are using the COVID claims to solve also the escalation problems. And there are many examples in the global market with sensible administrations that are putting in place specific and extraordinary legislation to protect this specific problem. We have seen this in Portugal and in Scotland. In Spain, we are working through the professional associations, SEOPAN, CNC with the minister in order to, in particular, with the transport in order to legislate a new protection to remove the escalation. For the moment, we don’t have reached any agreement. I feel optimistic, but we will see. So, as I assume. And finally, our procurement department is putting in place several individual and concrete actions to minimize this effect. So, as a summary, it is not a good situation, but we are managing and protecting the numbers.
Pepa Chapa: Thank you very much. That was the last question.
Jose Manuel Entrecanales: Okay. Well, thank you, everyone. And just let me stress that notwithstanding the geopolitical tensions that we are living in and particularly my support and personal condolences to the Ukrainian people and our teams, which I would like to stress. The outlook for this company is hugely exciting. There are vectors of growth all over the place. We have the talent. We have the capacities, and we are in the right places, in the right sectors and with the right abilities to develop these projects always under the common denominator of our sustainability drive on our contribution to a better future. Thank you very much. See you soon, I hope. Thank you, all.